Operator: Hello, ladies and gentlemen and welcome to participate in Orient Paper's Fourth Quarter and Fiscal Year 2017 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, Orient Paper's Chairman and Chief Executive Officer; and Ms. Jing Hao, the company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao would be delivered in English by interpreters. Orient Paper announced its fourth quarter and fiscal year 2017 financial results via Press Release yesterday, which can be found on the company's website at www.orientpaperinc.com. First Mr. Liu will brief you on the company's key operational highlights over the fourth quarter and fiscal year 2017, and then Ms. Hao will review the company's financial results. Before we start, I would like to draw your attention to our safe harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. All statements, other than statements of historical facts in its announcements are forward-looking statements, including but not limited to anticipated revenues from the corrugating medium paper, tissue paper, offset printing paper and digital photo paper business segments; the actions and initiatives of current and potential competitors; the company's ability to introduce new products; the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management personnel and research and development staff; and other risks detailed in the company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectation except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that these expectations will turn out to be correct, and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks, and it's now available for download from the company's website at www.orientpaperinc.com. Please note that there will be discussions on GAAP financial measures or EBITDA or earnings before interest, taxes, depreciation and amortization. Please refer to our Press Release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by Dan McClory [ph] from Weitian Investor Relations. Mr. Dan, please go ahead.
Zhenyong Liu: Thank you operator and good morning everyone. Thanks for joining our fourth quarter and fiscal year 2017 earnings call. Our fiscal year 2017 results largely reflected the impact of a government mandated temporary restriction on production that has been in place since November 2016 and significantly shifted the paper industry balance over the year. We saw both revenues and profits decrease in 2017 as a result of a 29.9% drop in overall sales volume that more than offset a 23.8% year-over-year increase in blended average selling prices. As previously announced, the company temporally suspended its production in January of 2018 due to a government mandated restriction on the natural gas supply, which is an energy resource we need for production. As of March 14, 2018 the company resumed production at its manufacturing facilities. As a result of the temporary suspension of production, we expect revenue to be significantly impacted in the first quarter of 2018 and we remain cautious on the 2018 outlook as the government heightened effort to combat pollution is likely to continue to take a toll on the paper industry in the near term, leading to a significant impact on production and supply/demand balances from time to time. Now I’ll return the call over to our CFO Ms. Jing Hao who will review and comment on fourth quarter financial results. Her comments will be delivered in English by my colleague Janice Wong. Janice, please go ahead.
Jing Hao: Thanks Dan and thanks everyone for being on the call. Next on behalf of the management team I will summarize on the key financial results for the fourth quarter of 2017. Also I will occasionally refer to specific production lines associated with various products. I will make clear to which products I am referring to for reference, though the numbering system for our production lines is provided in our earnings Press Release and on slide 17 of the earnings call presentation. Now let's look at our financial performance for the fourth quarter of 2017. Please turn to slide number five. For the fourth quarter of 2017 total revenue increased by 12.9% to $35.4 million, due to increase in ASP and then partially offset by decreases in sales volumes across all product categories. Production of tissue paper was suspended in September and October for the replacement of coal boilers, and began intermittent production in the following months. In addition we decreased the production volume of regular CMP, Light-Weight CMP and offset printing paper and the sales of these products due to environmental conditions in Northern China. Turning to slide eight, for the fourth quarter of 2017 CMP segment, including those regular CMP and the Light-Weight CMP generated revenue of $29.8 million, representing 84.1% of total revenue. $24.6 million of revenue was from our regular CMP product and 5.2 million was from Light-Weight CMP. Volumes for the CMP segment decreased by 11.5% to 53,705 tonnes, of which 44,411 tonnes was regular CMP and 9,294 tonnes was light-weight CMP. Average selling price or ASP for regular CMP increased by 43.8% to $555 per tonne, while ASP for Light-Weight CMP increased to 40.3% to $554 per tonne. Turning to slide nine, for the fourth quarter of 2017 our offset printing paper segment generated revenue of $5.4 million, representing 15.2% of the total revenue. We shipped 6,520 tonnes offset printing paper in the fourth quarter, a decrease to 39.8% from the same period of last year. ASP for offset printing paper also increased by 38.1% to $826 per tonne. Turning to slide 10. For the fourth quarter of 2017 tissue paper segment generated sales of $0.3 million. We shipped 185 tonnes tissue paper in the fourth quarter, a decrease to 83.6% from the same period last year. ASP increased by 21.2% by 1,456 per tonne. For the fourth quarter of 2017 we shipped [zero][ph] tonnes of digital photo paper. Slide number 11 summarizes the changes in our revenue mix. For the fourth quarter of 2017, cost of sales increased by $8 million $31.8 million, leading to gross profit of $3.6 million from $7.5 million for the same period of last year and gross margin of 10.2%, decreased by 13.8 percentage points from the last year. For the fourth quarter of 2017 SG&A increased by $0.3 million, or 9.3%, to $3 million compared to $2.7 million for the same period of the prior year. The company booked the loss impairment of assets of $2.3 million in the fourth quarter of 2017, compared to zero in the same period of the prior year. For the fourth quarter of 2017 losses from operations was $1.7 million compared to income from operations of $4.6 million for the same period of last year. Operating loss margin was 4.7% compared to operating income margin of 14.8% for the same period of last year. For the fourth quarter of 2017 net loss was $1.6 million or $0.08 loss per basic and diluted share. This compared to net income of $3.1 million or $0.14 for basic and diluted share for the same period of last year. Now shifting gears to year-to-date financial results. Turning to slide 18, for the year ending December 31, 2017 total revenue decreased from 13.2% to $117 million, primarily due to the decreases in sales volume across all product categories and partially offset by a moderate increase in blended ASP. Production of tissue paper was suspended in September and October for the replacement of coal boilers, and we began intermittent production in the following months. In addition, we decreased the production volume of regular CMP, Light-Weight CMP and offset printing paper and sales of these products due to environmental conditions in Northern China. Turning to side [Audio Break] December 31, 2017, the CMP segment, including both regular CMP and a Light-Weight CMP generated revenue of $96 million representing 82% of total revenue. $80.4 million of revenue was from our regular CMP products and $15.6 million was from Light-Weight CMP. Volume for CMP segment decreased by [25.6%][ph] to 207,089 tonnes of which 173,399 tonnes was regular CMP and 33,680 tonnes was Light-Weight CMP. ASPs for regular CMP increased by 37.3% to $464 per tonne, while ASP for Light-Weight CMP also increased by 32.3% to $463 per tonne. Turning to slide 20, for the year ending December 31, 2017 our offset printing paper segment generated revenue of $80.7 million, representing 15% of the total revenue. We shipped 26,610 tonnes offset printing paper for the year ending December 31, 2017, a decrease to 49.1% from the same period last year. ASP for offset printing paper increased slightly by 9.9% to $702 per tonne. Turning to slide 22, for year ending December 31, 2017 tissue paper segment generated sales of $2.4 million. We shipped 1,804 tonnes of tissue paper and ASP for tissue paper decreased slightly by 5.8% to $1,306 per tonne for the year ending December 31, 2017. For the year ending December 31, 2017 digital photo paper segment generated revenue of zero. In June 2016 we shut down the production due to market construction and we expect that our digital photo paper production will remain suspended in the near future. Slide number 24, summarizes the changes in our revenue mix. For the year ended December 31, 2017 asset sales decreased by $11.1 million to $97.1 million, leading to gross profit of $20 million from $25.5 million last year and a gross margin of 17.1% decreased by 2.3 percentage points from last year. For the year ending December 31, 2017 SG&A expenses were $11.3 million compared to $20.4 million for the same period last year. For the year ending December 31, 2017 income from operations was $4.7 million compared to $13 million from the same period last year. Operating margin was 4% compared to 9.6% for the same period last year. For the year ended December 31, 2017 net income was $1.7 million or $0.08 per basic and diluted share compared to $7.3 million or $0.34 per basic and diluted share for the year ended December 31, 2016. Moving to slide 25, let’s look at the balance sheet and the liquidity. As of December 31, 2017 the company had cash and cash equivalent short term debt, current capital lease obligations, notes payable and long-term debt of $2.9 million, $7.2 million, zero million, $6.1 million and $11.9 million, respectively compared to $2.3 million, $5.1 million, $8.8 million, $2.2 million and $14.9 million, respectively at the end of 2016. Net accounts receivable was $1.8 million as of December 31, 2017, compared to $3.9 million as of [December 31, 2016] [ph]. Net inventory was $8.5 million as of December 31, 2017, compared to $5.6 million at the end of 2016. As of December 31, 2017 the company had a net working capital deficit of $1.8 million compared to $6.1 million at the end of 2016. Net cash provided by operating activities was $18.2 million for 2017 compared to $15.3 million for 2016. Net cash used in investing activities was $9.3 million for 2017 compared to $11.5 million for 2016. Net cash used by financing activities was $8.6 million for 2017 compared to $3.7 million for 2016. Now if you have any further questions please contact us through e-mail at ir@orientpaperinc.com. Management will respond to your questions through email as soon as possible. Operator, please go ahead.